Andrew Kiguel: Welcome, everyone, to the Realbotix's Investor Call for 2024 to present our audited financial statements. On the call today is the management team, including myself, Andrew Kiguel, the CEO; Jennifer Karkula, our Head of Communications; Martin Bui, our CFO; and Matt McMullen, our COO, Chief Visionary and Creative Genius behind the products. We're going to play a short video here just to get things started around our experience from CES earlier this month. After that, I'll make some additional comments, and then we'll open up the line for questions to you Jennifer. Jennifer, if you can queue that up. So CES is the very first conference that we attended. It's the first time we ever displayed our products to the public. The response was highly positive. It was reported to us that there were over 1,000 articles written on the company, several TV spots, FOX News, CBS, lots of viral videos that got millions of views. And amazingly, we were told we got over four billion media impressions globally. I think that outside NVIDIA, Realbotix may have received the most media attention at what is considered to be the largest electronics show in the world. You can see here some of the highlights from the show and different things that we did. And obviously, later on, we're happy to take questions. There's a ton of media all over the place on the Internet on various channels with respect to our products. I think coming out of CES, management feels very confident that we're on the right track. And if anything, we may have underestimated the market size for our products, the feedback from larger technology companies to what we're offering is also very positive. So going back to 2024, it was a year of a lot of change and expansion. While the financial statements that we released yesterday only contain one full quarter of Realbotix in those numbers, the changes were obviously meaningful. Those are all highlighted in the filings and in the press release, I mean, the key thing for 2024 was that we expanded into AI and robotics. And as that business grew, we made the decision to focus more in that area and then ultimately to rebrand to the name Realbotix, which better reflects our focus moving forward. As I said, all of these changes are summarized in the press release, in the MDA and in the AIF, which were filed yesterday. With respect to where we are, we continue to make headway into finding new ways to scale our production of robots. So for example, we're in discussions to outsource the building of certain nonproprietary parts and maintain the key IP manufacturing internally. This will help us increase our production figure significantly without having to spend a ton on building a new facility in the near-term. Our latest AI version is in beta testing. We expect it to be completed in the coming months. I think the way you want to think about it is when you have an app and there's upgrades that keep coming out or even new mobile phones, we continue to invest time into making our products better and integrating better. And there's always that fine line of trying to make our stuff, our software and our hardware integrate seamlessly together. Our new robot controller, upgraded robot controller is close to completion. We expect that ready soon. We're continuing to work on elevating this new vision system that we've had, and we think in a few months that will be ready to integrate across our robotic platforms. Our unique open source robotic hardware is getting to launch compatibility with ChatGPT, LAMA, Gemini and DeepSeek from China. The concept is that you can buy a robot and choose what AI you want to run through the hardware. That would also obviously include our own IT and our special lip sync technology that can articulate words in a similar fashion to a human. This will also be integratable with most major languages across the world. We did do some stuff at CES, where we had the robot speaking in Spanish and Mandarin. Moving forward, we're continuing to be focused on growing our marketing, sales teams, AI, hardware. There's a lot of stuff to do, and we're still at an early stage. We're super excited. As well, we're exploring looking into uplisting to a US-based exchange to make it easier for US investors to buy our shares. Overall, we're excited for the future. A quick note on the accounting. Obviously, I don't believe necessarily that the accounting accurately reflects the value in our business and the many key aspects of our technology in our IP are not recognized. It just has to do with sort of accounting rules, which I don't think necessarily reflect reality. We believe we have some of the most interesting and unique robotics and AI technology available in the world today and certainly, if anybody who visited our booth at CES would have been validated in our progress and the products that we're doing. I would encourage people to visit our websites, realbotix.ai for investors and realbotix.com for customers. Maybe with that, and again, we can open it up to questions. We have Matt here and Martin and myself to answer things. So I'll turn that over to Jen after that quick summary to answer the questions.
A - Jennifer Karkula: [Operator Instructions] So our first question is from Dan. Hey Dan, go ahead.
Unidentified Analyst: So can you expand on the pipeline as you envision it after CES, what kinds of orders might you be looking for on a go-forward basis or even just the interest that you're seeing from the businesses that inquired? Thanks.
Andrew Kiguel: Yes. Thanks, Dan. So we've had a tremendous response post-CES, I'd say, upwards of somewhere between 75 and 100 different inquiries for people looking to order products which has made us work really quickly to create the process so far is there's a bit of a consultation, but to sort of for us to upgrade that ordering process. The primary interest levels that we've been seeing have been from corporations. We haven't seen a ton from individuals. It's primarily large organizations and groups that sort of saw our project live at CES or some of the videos that have been going on, and they've reached out to see how we can integrate our product into their business. And that's anywhere from schools, pharmaceuticals, hospitals, electronic companies, software companies, it's really a wide gambit of sort of interest levels, but it's been primarily all corporate. Dan, did you have any follow-up to that? Or does that answer the question?
Unidentified Analyst: No. I mean I'll get back into the queue from there. But I could ask questions continuously. But I'll get in the queue and then raise my hand again.
Andrew Kiguel: Okay.
Jennifer Karkula: Okay. The next question is from Greg. Go ahead, Greg.
Unidentified Analyst: How would you characterize the company? I'm not trying to put you in a box, but do you -- do you feel you're more of a hardware company or a software company or just -- I'm looking for your own description would be one question. The second would be, where is it that you think the accounting restrictions don't match up with what you perceive to be the real underlying value of the company?
Andrew Kiguel: Sure. So I'll answer the first one, which is we see ourselves as both. Where we have sort of done something very different is while other robotic companies are focused on making robots that start from, I think Matt had said it really well, which is sort of taking a mechanical component and then trying to backfill it to make it have a human shape. We've always started with the idea of starting with what the human shape looks like and the technology we have around skin to make the robot look as human as possible and thus, easier to interact with in social environments and for interpersonal. Our viewpoint is, number one, we have this open source hardware, which is compatible with various forms of AI, and we plan to start integrating that in. We have a time line for that over the next few months. And we think there's an entire business there for that. And so university is contacting us because they want to test out their AI and our robotics, but the ability to plug in ChatGPT, there's an entire market there for, again, using existing AIs. But the second part of it is, is that we want to be able to have a customized AI for the client. And so as an example, we talked to one person who is a pharmacist, and he asked if we could help them create an AI, which could communicate with his clients and discuss things like dosages, what types of drugs are compatible or may have bad reactions with each other. What should be taken day or night. And these are the types of things that could save him a lot of time by programming this AI into sort of a robotic bust or something that can then interact with people at his pharmacy. So we also want to look at ourselves as a software company and that we want to create that sort of customized touch of AI, which we build on top of open source. But also there's this companionship layer. And certainly, the media tended to run with that. But we think there's a really strong use case here for our hardware and our software even as a stand-alone to combat what I would say is an epidemic and loneliness specifically around adolescents and senior citizens, or people who are just geographically isolated. And so we also think that, there's a good use case there for what we're doing. And so internally, we have separate meetings on the hardware side, on the software side, we've now created a new meeting for the development of our vision system. So there's a few buckets there that we're playing in. But I think for us, it's important because we're trying to deliver that ultimate vision of a humanoid robot that is highly realistic and compatible with various types of AI for different purposes. To your second question, with respect to the accounting, look, it's a complicated question, and I understand the challenges that auditors would have. But if you look at our balance sheet, we have a lot of patents around the skin, different things. Coming out of CES, we had some of the largest companies in the world who were there approach us and tell us that they thought our technology was amongst the top three things that they saw at the entire conference, and that's out of thousands of attendees. And so in looking at our balance sheet, do I think the value of our technology and what we're doing in building, this is a company we got 4 billion media impressions around the world. Do I think that the value of our technology outside of our cash and our crypto is like I don't know whatever it's valued at $1 million. No, I think it's worth hundreds of millions of dollars, and that's obviously hard to pick up. As part of this last audit, we were told to write down a bunch of intangibles and things where some of that value is carried. And as a result, we had to take a fairly large non-cash write-down on the value of those items. And so whereas in my opinion, and I know accounting doesn't need or it's not supposed to necessarily reflect reality, but whereas in my mind, I think the value of our IP, our technology and the things we're building are in excess of what they were listed at, we actually had to take a write-down on those. When I look at our balance sheet, we're essentially carried at the cash and crypto value and very little else. I think the company is worth a lot more. Yes.
Unidentified Analyst: Great. Thank you.
Jennifer Karkula: The next question is going to come from Thomas. Go ahead, Thomas.
Unidentified Analyst: Hi. Can you hear me?
Andrew Kiguel: Yes.
Unidentified Analyst: Hi, Andrew. So you said that you're getting the most traction amongst corporate customers right now, and I guess that makes sense considering the price point. So I'm wondering, do you guys intend on focusing your research and development to increase the ways that the robots can be adapted for use by businesses? And at what point, as you scale up and what price point do you think you try to enter the consumer market as opposed to big impact?
Andrew Kiguel: Right. So we're not opposed to the consumer market, but you're right, it's a high price point. And if you look through history of technology, generally, new technology goes to people that can afford it. So rich people or corporations that have the money to do it, and then over time the price comes down. So today, currently, we're working on perfecting the technology, not necessarily trying to bring the price down. As we perfect -- and when I talk about perfecting the technology, it means like can we switch things a little bit different to make it more efficient? Can we use different things to make the movements more smoothly? Can we make the lip sync better? So as we have technology that's available for sale right now, but we're continuing to sort of perfect it, we're less focused on the cost and wanting instead to deliver the best possible product for the best sort of customer interaction. As we get that going and we start to look to scale the business, there's things that we're looking at that will bring the cost down and make it more for home use. But again, if you're just thinking about home use, our bus -- our AI-powered bust product starts at around $10,000 -- while that's certainly expensive, if somebody really wanted to have it, it's not prohibitive. A full bodied robot costs a lot of money today. And today there's a lot of motors and different technologies that go in there and the cost of building those that today, you're not going to get the same price point. But I would hope that in three years or four years, we're talking about a much lower price point, I'd say probably more in that $50,000 to $70,000 range for a full-size robot and probably a couple of thousand dollars for a robotic bust.
Unidentified Analyst: Great. Thank you.
Jennifer Karkula: The next question is from Adam. Go ahead, Adam.
Unidentified Analyst: Do you hear me?
Andrew Kiguel: Yes.
Unidentified Analyst: Perfect. Okay. So I have a like a three-part question. My first question is.
Andrew Kiguel: We can hear you? So I can write it down.
Unidentified Analyst: Please, because I wrote down the question. Okay. So my first question is, I mean, it sounds like you're going down a very lucrative road, but it sounds like it could be a long one. But I want to let you know, I'm backing you guys at million percent. I have a lot of shares in this company. I've had it for a long time since you were in the crypto days of Token and this and that. So my first question is this. If the stock starts to fall, I'm only going to talk about share value. I am not going to talk about the robots and the AI because that's a totally different field. But my first question is, if the stock starts to fall to like $0.05, $0.06, $0.08, $0.10, $0.15, $0.20, will you guys continue to back it and support it like you were doing five, six weeks ago with your share buyback? That's my first question.
Andrew Kiguel: So let me clarify, we actually haven't done a share buyback yet, and let me explain why. There's actually regulations around that. And because we were in possession of material non-public information, meaning our financial statements, which we started on in when this was announced, we were permitted legally to buyback shares. So the subsequent question is, yes, we have put money aside to support the stock. The intention is for us to buy shares, but it just really depends on what's going on, like the philosophy that I have around this is that we want to support the stock in meaningful ways. So, on a day, for example, like -- or Monday, I think it was, when -- because of the DeepSeek information, everybody lost their minds and decided that they were going to sell off the market and NVIDIA loss like, I don't know, $500 billion or something in one day. To me, that's not a good day to be using our share buyback because there's a high likelihood it's going to bounce back the next day. The way I kind of view it is in order to build shareholder value is if we see that the stock is languishing and trading down, I think we would step in and trying to do something over the course of like a two or three-week period where we're constantly buying a certain amount of shares every day to provide support in a period of time where the market or the stock should be preparing better. But I think jumping in on like bad shitty days like we had it on Monday, it's like trying to catch a falling knife. It's not a good use of capital because some days are just going to be bad days in the market.
Unidentified Analyst: Got it. Okay. My next question is you said that you also are going to apply to get to be traded on the NASDAQ, correct?
Andrew Kiguel: We're evaluating methods to do that. So let's talk about that for a second. So...
Unidentified Analyst: So while you're talking, let me just add two questions in there, like just to understand something, because you're traded on the Canadian exchange XBOT.V, and then you're also traded on the XBOT.F one, which is the U.S. So first of all, my first question is, would you have to do a reverse split to get there, a; and b, also the U.S. exchange is getting 10% of the volume. So why do you think that is?
Andrew Kiguel: Okay. So let's talk about that for a second. So the OTC market in the U.S. is -- it's actually, I think, technically not like a full exchange. Like I don't think it classifies as an exchange if you look into it, but it's sort of a trading clearing for U.S. buyers. And so the problem that we're seeing is, especially after CES, is that there's a tremendous amount of buying interest in our stock and Jennifer can attest to the number of messages that we get from people, because Robinhood doesn't let you buy OTC stocks, several places don't let you do that. And so as a way of allowing more of an ease for people to do that, I think it's incumbent upon us to look at listing. The NASDAQ is a great exchange. What it does for you is it makes it easier for people to buy you, you can be included into various indexes like maybe a robotics index or an AI index. It makes it easier to raise capital down the road. But that comes with some other considerations. So for example, directors and officers insurance for a company listed on the NASDAQ is expensive. It's -- the last time I checked, it's about $1 million a year. There's additional accounting staff that you have to put in place. There's additional regulatory issues. And so to me, going to list on the NASDAQ has the downside that it probably is going to add about $1.5 million a year in incremental overhead and work. And the -- I guess the other piece of it is that we'd have to look at doing a consolidation, because you can't list on the =NASDAQ as a $0.30 stock. There are various tiers there. But look, ultimately, my hope is that we start trading up to a much higher value and then we don't have to consolidate our stock. We're trading at a much higher price that qualifies us to trade on the NASDAQ as we are.
Unidentified Analyst: Okay. I do want to respond about the Robinhood comment, though. Robinhood traders, the way I see them are day traders. I'm just saying there's so many more brokerage firms you could trade with this and that. So the guys who are Robinhood who can't trade your stock you might be a little bit lucky there because those are the guys who want to trade it and make a quick profit. I don't think those guys are holders. That's all I'm saying.
Andrew Kiguel: Yeah, possibly. But ultimately, we want to make our stock easier for US buyers to purchase. But you might have similar restrictions at Wells Fargo or JPMorgan or Goldman Sachs. I don't know.
Unidentified Analyst: Got it.
Andrew Kiguel: But ultimately, what we're trying to do is to be somebody -- we've got messages from people who want to buy the stock and they're unable to. So we want to find a way to correct that. And we think that being on a, what I would call a superior exchange in the United States would help us from a valuation perspective and able to attract a wider reach of investor.
Unidentified Analyst: Got it. Okay. Great. And I wish you guys the best of luck, by the way, because I'm following us day-to-day. As Jennifer would know because I sent her lots of e-mails.
Andrew Kiguel: I'm aware, I respond to them. So...
Unidentified Analyst: Okay. All right, cool. Thank you.
Andrew Kiguel: You're welcome.
Jennifer Karkula: The next question is going to be from Kevin.
Unidentified Analyst: Yes. Good afternoon. First off, I want to say I think it's an impressive product that could revolutionize what you're trying to do in the loneliness sector. I've got a few different questions. My first one is relating to forecasting and what have you. Obviously, Andrew, as CEO, all of us that have been CEOs, we understand that in order to get P, we have to have B. And so I'm interested in your forecast. I didn't hear along the way that there's a forecast about what you're thinking in the next four quarters as far as an overall revenue forecast as well as anything pertaining to cash flow, whether you're going to be discussing EBITDA, net income or whatever. And I have a couple of follow-on questions to that.
Andrew Kiguel: Sure. So as a general rule, we don't provide guidance. And it's a really dangerous thing to do so for a company our size. What I would say is our expectations are that this year is going to be significantly better than last year. I think in looking at our Q1 numbers, they are just for Q1, almost entirely on their own as good as last year was as some kind of an indication. So we're -- that's three weeks away from release. In terms of the market, Kevin, it's an interesting question. And Matt and I talk about this all the time. We do have internal forecast. We have sort of a base case, a mid-case and a high case. But we're in a brand-new market. It's not like we can point to what the other robot guy is selling and say, we can layer on top of that. We're building a new market. It's new use cases. And we continue to think that the market -- post-CES, we came back and we think that the market was bigger than we anticipated. And so it's a little bit of a race right now. And I think we have a head start because our product is so different than everyone else's in the robotics and AI space. And so we're trying to sort of -- Matt and I were talking earlier that Monday to Friday, we don't have time to eat because we're literally from the entire day just busy working. And so I think putting out estimates and guidance is dangerous for a company like ours because the reality is, is that we're in this new space, we don't know where it's going. We think it's going to be a massive market. And the only thing I would say is that I can promise is that this year is going to be better than last year.
Unidentified Analyst: Yes, I think for you, you've got an amazing technology of realism that your differentiator between the other robotics companies is the fact you look humanoid. I can see your vision, and I'm impressed with it. The thing is how are you selling and what have you. I know like for myself as a global CEO, I would be having my regional, district, country managers or whatever rolling forecast. Now, I know you're not global like that, that you have 1 million people with your overhead being a small company doing $1 million, $1.3 million in the last quarter. But what -- can you -- I guess the follow-on to that would be, what is your selling -- do you have like sales folks that are selling this? Or is it just whoever calls you? Is it your retail operations? I mean the biggest thing comes down to is the market is going to start paying attention to, A, you have an amazing product out there that is just earth-shattering. But B, showing the numbers to make Wall Street or investors believe it that they want to buy more stocks, which increases shareholder value for all of us that are our own shares in your company. And I'll have one more -- two more questions after that, that follow this.
Andrew Kiguel: Sure. So, the answer is that we're developing this. So, to build, and it sounds like you're a CEO of a company that's got various layers of salespeople. Currently, we're doing it ourselves. And so believe it or not, Matt and I and some of the other internal management team, we're responding to these like all these inquiries directly ourselves, like we spend time jumping on calls with people, having people tour the facilities, putting together -- we're putting out quotations for products on a daily basis. And we're evaluating better ways to do that, right? And it's a bit of a -- it's not an easy product to sell because there is so much customizability like which AI do you want to operate? Do you want the AI to run locally or on the cloud? Which type of voice do you want? What do you want the face to look like? Like there's some things here that need to be selected. And so what we're doing is, we're trying to make it more efficient so that you can go to the website. We're going to be adding brochures there soon, I would say, in the month of February, where you'll be able to just click on the product and you'll get a three, four pages that give you like the exact range of movements for each robot type. What type of voices? We get questions like can the robot be outside in the rain. And so all of these types of questions will be answered per product, and then there's going to be an intake form which we're currently using and modifying where somebody will be able to sort of click a few things, add some comments, and then you'll get a quotation back very quickly. We're in the process of interviewing people for sales roles, people with experience, but really what we need is somebody who's innovative entrepreneurial to help us manage the sales, but also the customer service and how we make that point of contact with the potential buyer easier, efficient in order to get that sale done.
Unidentified Analyst: Yes, that's the part where you're at in your entrepreneurial journey about getting that channel done.
Andrew Kiguel: Yes, I mean you got to remember this, we started -- when we did all this, the business, we've only really -- CES was the very first time we ever showed the products anywhere as the first conference. And we didn't know what to expect. We're obviously super happy that we got the reception that we did, but it's a little bit like drinking from the firehose since then because there has been so much interest from buyers, from investors, from other software providers, hardware providers. And so, we're trying to manage the growth under the understanding that, hey, we are still an early-stage company, right? There's probably 20, 22 people at the company right now at all levels. We're growing. The intention is to turn this into a multi-billion-dollar business, but that happens over time and takes work.
Unidentified Analyst: Absolutely. You had an impairment of $9.3 million, and after everything taking out the NRE, you're at $442,000. So, is there going to be a case on your investor website that we would see a comprehensive balance sheet that shows everything, Andrew? Will we see something like that…
Andrew Kiguel: Yes. So we file the full financial statements on sedar.ca. Maybe Martin, can you just jump on and direct Kevin, as to where you can find all our filings. And then you'll see full audited financial statements.
Unidentified Analyst: Okay. I don't want to take up your time because I would like to…
Andrew Kiguel: If you go to the .ai site, there should be an area there that will lead you to, it's sedar.ca I believe SEDAR.
Unidentified Analyst: Yes.
Andrew Kiguel: And we file -- so management discussion and analysis, the annual information form, the financial statements and the press releases, everything is there, and it actually goes back for years.
Matt Mcmullen: Yes, it's sedarplus.ca, Kevin, and I can confirm that all our filings are on there as of yesterday night.
Unidentified Analyst: Sure. The total digital assets and cash of $9.7 million you're sitting on, is that after the impairment or before the impairment?
Matt Mcmullen: There's no impairment with regards to our cash.
Unidentified Analyst: I'm sorry, it's after.
Matt Mcmullen: There's no impairment on that one. Sorry, just the fair value of the cash and the crypto as of September 30th.
Unidentified Analyst: Okay. And then my last question, Andrew. I appreciate.
Andrew Kiguel: So, it would be after -- so all the impairments were non-cash. Non-cash, non-value. They were just -- basically, we were carrying the value of the technology. Like, I'll give you an example. We own the domain name Tokens.com. We have that listed for sale at $6 million. We're receiving bids in the seven-figure range for that. But from an auditing perspective, they make us carry that at zero. And so we had to write that down last year. There's other sort of things that we carry like value of patents and things like that, that from an accounting standpoint, really hard for them to sort of verify, what is the value of the technology, so they made us write all that stuff down to zero. So there's no cash involved or impairments to the assets, really just they're saying, we will value you at your cash, your digital assets and inventory and very little else, and that's why the balance sheet is where it's at.
Unidentified Analyst: Yes, I'll take a further look once I can find. If not, I'll call into your Investor Relations. My biggest concern of companies, whether it's you or anyone else, comes down to do you have enough with current burn rate, do you have enough cash on hand? How many months of operation do you have cash on hand to achieve your vision? And I'm sure…
Andrew Kiguel: Yes. I would say we easily have 12 months, probably more. So I anticipate this year, we'll probably lose somewhere in the $3 million range. And that's just because we have to invest into things like marketing, sales, like all the things we talked about in terms of growing the sales force. Looking at sort of where we're at, at those numbers, it's about $10 million or so with cash, cash equivalents, like I'm pretty sure here we could stretch this out for 24 months if we needed to, and really we haven't raised capital in the business for many years, and I think the thought process is, let's make sure we sequence things properly, let's do things quickly. The fastest way in my mind to blow up a company is to try and focus into too many areas, hire too many people, and then all of a sudden, you run out of money. I don't want that to happen here. And so we evaluate everything very carefully. We're conservative with how we spend. And so I believe we're well-capitalized here for at least another 12 months.
Unidentified Analyst: Excellent. My final question pertains to, obviously, this came out of the thought process and innovations at RealDolls. Can you share with me is RealDolls now totally separated from Realbotix? And because one has – with the vision you have for Realbotix has certain connotations and RealDolls has a different connotation that's going to impact investor sentiment. So if you can kind of -- is RealDolls still -- I couldn't necessarily in following all your documents or whatever and looking at all those different websites, I couldn't ascertain whether they're still connected, disconnected, interrelate. Can you comment?
Andrew Kiguel: So, yes. So a lot of the technology and why the robots look so real does come from that business. That's really where we're today is an evolution of that business. The way it stands today is the companies are separate. There's separate accounting, separate banking, separate staff, within those businesses. But there are some ways that we leverage technology like mostly then potentially leveraging technology from Realbotix. We still own, I believe it's about 85% of that business, and we're evaluating how to integrate that. But for sure, in building the business where we see the future of the company is more on the Realbotix side. And we recognize the need to keep those businesses separate because we're dealing with a very different client base.
Unidentified Analyst: So you will -- you still own, you're saying 85% of RealDolls.
Andrew Kiguel: About that, yeah.
Unidentified Analyst: And is that baked into -- out of this revenue number that you just shared, how much of that comes out of that $1.3 million? How much of that comes from RealDolls and how much of it comes from Realbotix?
Andrew Kiguel: It's broken out, but I would say that it's probably about 50/50. Again, keeping in mind Realbotix, this is a new business that's being built. We've just started marketing and those financial statements date back to September 2024. And so I think you have to just keep in mind that the Realbotix business, the value today lies in the technology, it lies in the patents; it lies in the future of what we're building there. And so part of what I'm trying to communicate to this is that I think the statements that were released yesterday don't fully necessarily reflect where the business is going. It's looking backwards through what I would call very draconian accounting eyes.
Unidentified Analyst: Well, I appreciate your candor. I'm impressed with your technology. I think you have sized up your market that there's a huge opportunity here. And someone who for many years ago took care of my terminally ill mom in a nursing home watching people being lonely and what have you, I think they're dead on about providing that kind of companionship to those kind of folks. And I wish you the best of luck. Post call, I probably will try and reach out to you, Andrew, and talk more about this company with you.
Andrew Kiguel: That would be great. Thank you, Kevin, for your questions.
Unidentified Analyst: Thank you.
Jennifer Karkula: The next question is from Donovan [ph]. Go ahead, Donovan.
Unidentified Analyst: Hi. Good morning, Andrew. Thank you for the call. Three different areas and you've touched on a couple of them already. So I'll continue that way. First off, I look forward to retiring a millionaire on your company. I absolutely love it.
Andrew Kiguel: Me too.
Unidentified Analyst: I started investing last early fall, doubled my investment when you had talked about doing the share buyback, I was kind of disappointed that it didn't come, because I was looking forward to going up. But I heard you speak about that earlier, and I understand your reasoning is there, but -- and we'll just wait on the future. My other two comments, I was also wondering about RealDolls and then 85% holding. For a moment, I just want to touch there, and then I'll return later. Looking at the competition in, say, China or something, you have just on the body, $8,000 to $2,000 or the AI $12,000 to $4,000 and certainly no quality comparison. I'm not looking at that. I'm just looking at price for the market. Leave that for a moment, now go to Realbotix. I love what I see there as well. I agree with the who and the loneliness and the nursing homes. I have a fairly large insurance agency. 90% of my business is in Medicare. I deal with nursing homes all the time. I do see the loneliness there as well. But I don't see a doll there yet. I would love to see a case study. Can you get a doll? I mean, it's easy for me to say, "Hey, why don't you chance drop a $175,000 doll and see what it does." I understand how ludicrous that sounds, but it was nice to show the world exactly what this doll can do in real-life and get other people. I've even thought about, man, do I buy it and just rent it out to the nursing homes myself. Where are we at as far as that being a possibility? But if you have a real-world scenario where the press, investors and other nursing homes can see, look, what it did here, look how good it is. We're not just talking about it. Here's a real-life study that opens up the sale. So I'm not looking at your investments so much as your sales, right? I do think you should have a professional sales team as well. But if you have that real-life scenario, even if nursing homes couldn't buy it, you're going to see families, wow, I saw that doll there. I want to get one for my own father, for my own mother, but I can't afford a $175,000. I hear they do have a RealDolls, that's only $12,000. Now all of a sudden, you've opened up a whole new market for RealDolls. And of course, it doesn't have to have the bad information on there from what some people might think of it. But I think by having a real case world, you might open it up both sales avenues. That's my comment.
Andrew Kiguel: Yeah. No, I think that's a good comment, Donovan. And we talk and think about this stuff on a daily basis in terms of where we want the business to go and with the different assets. And -- when it comes to RealDolls, we're doing a website revamp. We're going to do sort of a bit of a repositioning of that. And I think the areas that you're sort of talking about are more of the direction that we want to go, and that is more about sort of what I would call wellness and healthcare. We think that there is a product there that can be suited to that process, and we're trying to sort of, again, thinking about it from a marketing standpoint of how do we go and get that product looked at more on to sort of wellness podcast and senior citizens homes in areas like that, and there's certainly the ability to combine that. I think, again, it's just a function of I want -- I wish we had -- if I had $100 million in the bank and we could just go out and hire a bunch of people and do everything, we would. But at this point, I think we sort of want to pick a couple of lanes to go down in terms of where we think we can get the most immediate value for shareholders and yes, that's certainly something there. And like I said, we're looking to sort of reposition that business to sort of a higher tier than what it's been sort of classified in the past. So I hope that answers the question.
Unidentified Analyst: It does. I just look forward to seeing a case study of the 175 Aria or anything else like that to show the world and get people excited about here's a real-world example, not I'm on display. The display is fantastic. I'd love to see it in the real world if you could get someone to allow it to cameras into their business.
Andrew Kiguel: Yes, we're working on it. We're working on it.
Unidentified Analyst: Thank you. I appreciate it.
Jennifer Karkula: Thanks, Donovan. Next, we have Michael.
Unidentified Analyst: Hi, Andrew. Can you hear me, okay?
Andrew Kiguel: Yes.
Unidentified Analyst: So following -- first, let me just say, I love what you're doing, liked where the company was before as well, but I get that the times just weren't quite driving. And so I had a couple of questions kind of regarding some of the divestitures of things like metaverse and Hawk Labs back early last year, specifically as it pertains to some of the crypto holdings as holdover assets surpassing that divestiture to StoryFire. I'm wondering as you start commenting about go-forward runway for the company, et cetera, and those of us that are shareholders certainly wanting to avoid unnecessary dilution. I'm wondering if you see a future intersection between some of these crypto holdings and where things are going with Realbotix or if at some point, these things are going to be looked to for liquidation, maybe once the accounting and the numbers are a little bit more favorable or whether you would be looking to debt instead of go-forward dilutive measures to raise the capital you need to move forward. Any thoughts you can share along those lines?
Andrew Kiguel: Yes. Let's take a step back. And so if you go back to tokens 2021, I think we made a great call and a horrible call. And so we got into the metaverse stuff before Facebook did and then when they converted their name to Meta, our share price skyrocketed, we were a $0.5 billion company almost. And that was great. And then in 2022, the wheels came off the bus and continued into 2023 for us, where we were a company that was sitting on some crypto, but we really were not getting any love from the market. And we needed to make the choice as to what we were going to do those -- the metaverse business at the time was employing a lot of people, and it was a large overhead. And essentially, the move that we did there was to say, okay, we don't want to give up exposure to this business and just shut it down, but why don't we sell it? We sold it to StoryFire in exchange for equity and what that does is, number one, we remove the overhead. But number two, it continues to provide us exposure to that area if it resurfaces in some way. In removing that overhead, really then the company became -- me, Martin and Jennifer and Eric, there were four of us. And we had the cash and the crypto and we were looking for something to do to create value for shareholders. And we wanted to say, okay, I think people in the business were used to us sort of playing in the VR space with the metaverse, why don't we take it to a reality where we're actually dealing with robots and AI. I was fortunate enough to meet Matt. Matt and I hit it off. We talked about this for a long time before we did this deal. As a company, we actually looked at another 12, 13 deals, and we thought this was sort of the best thing we could do for shareholders and I still continue to believe that. So in terms of where we are today, we continue -- and I think I said in the press release, as we need capital, we're selling the Ethereum here and there when we see the highs hit. We're going to be opportunistic, but I think as the company moves forward, we want to be seeing less as a crypto company and more or even a metaverse company, although we have some exposure there, and we want to be perceived more as a robotics AI company.
Q – Unidentified Analyst: I certainly appreciate the -- I figured as much. I just was kind of curious what the thought was with some of the crypto. I didn't know if it was intentionally held back from the deal of the StoryFire or if they weren't interested in those assets at the time or….
Andrew Kiguel: I wasn't going to give them any of the crypto.
Q – Unidentified Analyst: Well, that's where I was going with trying to kind of figure out.
Andrew Kiguel: Yes. No, no. What I was really trying to do there was get rid of the overhead. I didn't want to fire 20 people. And so what I did is I found a home for them and in the process also got us exposure in the event that, that business resurfaces and comes back to life.
Q – Unidentified Analyst: Good deal. Well, thank you for the answer. I love what you're doing and look forward to seeing you continue to do well.
Andrew Kiguel: Thank you.
Q – Unidentified Analyst: Thank you.
Jennifer Karkula: Thanks, Michael. Next question is from David [ph].
Q – Unidentified Analyst: Andrew. Do you hear me?
Andrew Kiguel: Yes. Hi, David.
Q – Unidentified Analyst: Hello. I'm from Germany, and I have a few questions. So the first one is an easy question. Are you an American company or Canadian?
Andrew Kiguel: We're registered in Canada, that's where sort of the genesis and the roots of the business are. But we -- our largest trading exchange is in Canada on the Toronto Stock Exchange, the Toronto Venture Stock Exchange here, which is a large exchange in North America. I would say that our shareholder base is probably 50/50 Canadian and US.
Q – Unidentified Analyst: Okay. Thanks.
Andrew Kiguel: Sorry, I'll add to that. The manufacturing, so while sort of the corporate headquarter is here in Canada, the manufacturing and really the heart and soul of a lot of what happens at the business is done just outside Las Vegas and Nevada.
Q – Unidentified Analyst: Okay. So the production is in Nevada and the headquarter in Canadian?
Andrew Kiguel: Correct.
Q – Unidentified Analyst: Okay. Are there any negotiations or possible cooperations with top companies, for example, big investors who want to get in because the CES was very successful. Therefore, I'm asking.
Andrew Kiguel: Yes. We've started having conversations with a lot of different players. There's nothing I can reveal right now. I don't know what will come to fruition, if anything at all. But certainly, we caught the attention of the largest software and hardware technology companies at CES.
Q – Unidentified Analyst: Okay. Are you considering changing your cryptos to create additional activity, for example, changing to Ripple. Yes.
Andrew Kiguel: So -- we talked at the Board level about whether we should convert everything to Bitcoin or Solana. The issue is this, and we had to think about it carefully. There's an expense to converting it. It's kind of -- and it's almost a little more expensive. But if we were to change $3 million or $4 million of crypto from one to another, there's going to be a friction cost there, probably about $100,000 of lost crypto just in the exchange and of getting something like that done. And so ultimately, we want to think like does the rising tide lift all crypto like what we've seen since last -- since really this all started when Trump got elected in the United States, we've seen sort of a resurgence in crypto based on having a pro crypto president in the US and everything has gone up. Some things have gone more than others. But I don't want to turn the company into a speculation house for various crypto. What I would really prefer is -- is that we sit here, we manage the -- it's primarily Ethereum. It's the second largest cryptocurrency in the world. It's been around for a long time. It's as blue chip in crypto as you can get other than Bitcoin. We thought about it. For now, I think the thought process is, let's just hold what we have. But again, I don't want to turn the company into a crypto speculation company.
Unidentified Analyst: Okay. Are you considering just selling your silicon skin and supplying big robot manufacturers, for example, because the production is sometimes more complex just to supply the silicon skin to, for example, Tesla and so on. So, just supplying the silicon skin. Is this --
Andrew Kiguel: I had a conversation this morning with actually someone from Germany, and we were talking about exactly that, which is I think we have some -- again, something that's not valued very well, not on our balance sheet, but I think we have the most realistic synthetic skin in the world. And we've been contacted by doctors who have said, hey, can we look into using this as a skin substitute. We've made prosthetics before for people. And could we license out our skin technology to another robotics company because eventually, they're going to want to put skin on it or something that makes them look real. So the answer is yes. We are looking into that, but it's just a function of there's only so many hours in the day for management to sort of look at stuff. And so that's on the list of things to do this year. And as we continue to build and grow the company, we'll dedicate more time to it.
Unidentified Analyst: Okay. Yeah. So the next question is, can you rule out share dilution this year in the context of the acquisition of Simulacra, the company, which you hand over?
Andrew Kiguel: Can you repeat the question?
Unidentified Analyst: Can you rule out the share dilution this year in the context of acquisition of the company?
Andrew Kiguel: Yeah. Yeah. I don't think that, that additional dilution is going to happen, no.
Unidentified Analyst: Okay. This year, not. Okay. So that's it. Thank you very much.
Andrew Kiguel: You're welcome.
Jennifer Karkula: Thanks, David. Now, the next question is from Adam.
Unidentified Analyst: Do you hear me?
Andrew Kiguel: Yes. Hello.
Unidentified Analyst: Okay. Perfect. Okay. So I want to get back to the business aspect because before we talk more like share value and this and that. So buying these robots are pretty expensive, $150,000, $160,000. And some people may be able to use it, but not realize that they can actually afford it. So have you given thought to leasing out these robots where they'll get a lower price on a monthly basis and also getting the robot updated if it needed to be updated. That's the first question.
Andrew Kiguel: So the answer is, yes. I think that what we prefer is maybe more of a rental plan. Like, the problems with leasing is -- while I wouldn't say the robots are like fragile, like what happens, if somebody throws a robot over a ledge or something and then says, great, it's broken. I'm not going to pay you for it. Like, I think those are things we would look at as the company becomes more established. But for today, the plan is you pay 50% upfront and then 50% on delivery and we're comfortable with that, and we're exploring rentals. So for example, there's universities that want to potentially rent robots to test their AI on. And as long as it was sort of in a well-supervised environment, we could look into that. We've also been -- had the idea that a conference center should probably like buy 10 robots and they should rent them out to exhibitors. And the proof of that was at CES because we had -- the CES staff were coming to us daily telling us we were creating a fire hazard because so many people were lined up to see our booth and people were stepping into other people's booths to get a site and look into our booth. And so clearly, it elevates traffic and crowds gather when you have a robot, convention center should buy 10 of these things and rent them out for $10,000 a day to the people who are presenting.
Unidentified Analyst: Great idea, actually. Okay. My next question -- that's a great by the way. Next question would be, if we go back in time and not too far back, I believe you guys had like $15 million in Ethereum. If I'm not mistaken, I could be wrong. But what happened all of it?
Andrew Kiguel: So I have to go back and look at the specific numbers. I think the easier thing to do is look at the number of Ethereum as opposed to its value because the value changes. And so.
Unidentified Analyst: Yes, but it moved up considerably over the last couple of years, has it not?
Andrew Kiguel: Well, the price of Ethereum has moved up considerably, but it's -- there's some level of volatility. But also, like I put in the press release like we've sold -- I got to go back, but I think we've sold like 250 Ethereum in the last2 to 3 months. So we're -- that's our working capital, right? And so whereas other companies might keep their cash in fiat, we have fiat money, but as we need to sort of continue to keep our cash balance going, we will sell off some of our crypto in order to maintain cash balances that we need to interact in the normal world.
Unidentified Analyst: Okay. And if you wanted to get more money quickly, would you consider doing like a private placement?
Andrew Kiguel: Not at these prices, look, maybe I'm internally optimistic, and that's positive or negative as my role, I'm the CEO, but I think we're incredibly undervalued here still. And again, I was talking to a guy this morning who is a former guy in the robotic space. And he said he looks at our market cap, -- he says, I think you guys are worth $500 million. And so I don't know why we would need to -- I would want to raise capital at these prices, like we can continue to use the crypto gradually and sequentially over time to meet our needs. I think if the share price was to go up, we would certainly contemplate raising capital. But at this point, I think if we have sufficient capital, we feel well capitalized. I don't know why we want to do something highly dilutive here, but don't hold me to that. It's things change on a day-to-day basis. And so does the share price and so does the price of Ethereum. And so we're trying to balance all these things the best we can.
Unidentified Analyst: Okay. And one last comment, I just want to say, like, I mean, I don't want to sound negative, but I'm like I always find -- I trade a lot of stocks and I buy a lot of companies and stuff, and I look for the value, but I always find that the value -- the value finds itself eventually. And I think the only way that you're going to find the value is by showing revenues and sales. I mean that's pretty much the only way you're going to do it. I've told you about this company like one of my very good customers called me and said, I just came back from CES. I'm like, did you see my robot company? He's like, holy shit, yes, I did. People were like taking pictures and they were standing in line and pushing people around. I'm like, yes, I invested in that. And I got him to make a nice investment in that company. Like I believe it, like he bought a lot of shares that day that he called me, and I think the stock had gone up to like $0.70 or $0.72 or something a couple of days later. It's fallen now, but because you're probably like getting off the CES buzz. But I mean, the sales will come eventually, if you work on them. And the value will absolutely find itself. It always does. So.
Andrew Kiguel: Yes, we agree. And look, there's -- there's a lot of things that go into the share price, and that is things that are out of our control like they're short sellers. And I actually think there was maybe some shorting that was happening there. I did contact the exchange and the regulators, and I did say, hey, I'm not sure, but can you look into it? We appreciated by about 500% in a week. And so of course, there's going to be a little bit of steam that's going to be let out there. We're still optimistic. And like I said, I try to look at things quarter-to-quarter, year-to-year as opposed to day-to-day because if you look at things day-to-day, you'll just drive yourself crazy trying to -- who's selling this, who's doing that. But I want to focus more on building the value. Like I said, we want to get sales. We want to get orders and have good news, that's what will eventually drive the share price higher.
Unidentified Analyst: Absolutely. Okay. Great. Good luck with that.
Andrew Kiguel: Thanks. Jennifer, maybe just one last question, if that's okay, as we're coming up on 2 O’clock.
Jennifer Karkula: No problem. So we have Thomas.
Andrew Kiguel: Hi, Thomas.
Unidentified Analyst: Hi, Andrew. Thomas Sullivan. I've known you since just before you started tokens. I've been following the company ever since then. I'm sure you remember -- can you hear me?
Andrew Kiguel: Yes.
Unidentified Analyst: Sure you remember back at the time I was a big supporter of the investment in the Metaverse Group. Unfortunately, that wave didn't crest as we thought it would back then. And I think the deal you did to divest from the Metaverse Group, but maintain exposure to that space was a great deal for the company. And going back to your roots at tokens.com being the first publicly traded crypto staking company, I was wondering, are you still taking the crypto holdings that you have? And are you using that income to fund operations? Or are they not being staked right now?
Andrew Kiguel: Yes. The ETH, I think we put out, I think 60% of the ETH is still staked and then 40% is unstaked. And so that allows us the flexibility to sell like if we need to sell crypto, it takes us under a minute. And if we wanted to do more, we can just unstake it.
Unidentified Analyst: So locked in.
Andrew Kiguel: And so -- we're sort of doing -- but we're not using it to fund operations because when you're staking, you just receive more Ethereum, so it just builds on the balance and we would unstake it, and then it's available for us to sell it if we wanted to supplement our working capital.
Unidentified Analyst: Awesome. Thanks, Andrew,
Andrew Kiguel: Welcome.
Andrew Kiguel: All right. Well, look, thanks, everybody, for listening to me talk here for the last hour. I'm certainly tired of listening to myself. If anybody has any further questions, please via the website, Realbotix or contact at realbotix.com. We do try to get back to everybody in a quick time frame. And thanks, everybody. Thanks for being patient with us. And we'll talk to you again in about three weeks with Q1. Thanks.